Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Supremex Inc. First Quarter 2025 Earnings Conference Call. [Operator Instructions] Before turning the meeting over to the management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Thursday, May 8, 2025. I will now turn the call over to Martin Goulet from MBC Capital Markets Advisors. Please go ahead.
Martin Goulet: Thank you, operator. Good morning, ladies and gentlemen. Thank you for joining this discussion of Supremex's financial and operating results for first quarter ended March 31, 2025. The press release reporting these results was published earlier this morning via the Globe Newswire news services. It can also be found in the Investors section of the company's website at www.supremex.com, along with the MD&A and financial statements. These documents are available on SEDAR+ as well. A presentation supporting this conference call has also been posted on the website. Let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. Presenting today will be Stewart Emerson, President and CEO; as well as Silvana Reyes, Interim CFO. With that, I invite you to turn to Slide 37 of the presentation for an overview of the first quarter, and I turn the call over to Stewart.
Stewart Emerson: Thank you, Martin, and good morning, everyone. Supremex began 2025 with relatively solid results, especially in light of persistent uncertainty emanating from the threat of tariffs in North America and around the world. While it wasn't exactly the start we were shooting for, our envelope volume was up year-over-year for the fourth consecutive quarter, and our packaging business had its best quarter in 2 years, validating the strength of the business in our 2 main verticals. Our teams have done a masterful job of navigating through a volatile environment. And while there are still levers to pull, our foundation remains rock solid and is ready to further build on it. First, let's look at the Envelope business. Yes, it's true that volume was up slightly, but revenue was down 9.4% year-over-year as lower average selling prices outweighed volume gains. But as I'll explain in more detail, this dynamic was more about preparing for and reacting to tariffs than it was any fundamental shift. In the quarter, our volume gains were heavily concentrated in the U.S. market as we prioritized January and February shipping to get ahead of and counteract the threat of tariffs. In addition to our own inventory buildups in our U.S. facilities, many customers worked closely with us and took on additional inventory. That dynamic and our ability to continue to win new volume, predominantly in bills and statements drove a sizable spike in U.S. envelope volume in the quarter. It is said that markets, generally the stock market avoids uncertainty, but direct mail and credit card solicitation marketers also empower the economic uncertainty resulting from the volatile tariff situation. Credit card solicitation was and is adversely impacted by the ambiguity surrounding the direction of the U.S. economy, which directly impacts mailers promotional rate decisions and by the risk of stagflation or an economic downturn. This unfortunately affects the higher-priced direct mail envelope volume that is produced predominantly out of the Chicago land facilities. While we played the hand we were dealt with very well, the other edge of the knife was that as we prioritize U.S. bills and statement volumes for the aforementioned reasons, it reduced available capacity for Canadian envelope customers. As a tactic to deal with the challenges, we reduced Canadian-centric stock envelope inventory, which delayed shipments to Canadian resellers, and we work closely with large Canadian end-user customers to deplete inventories on a managed basis where we didn't let them run out of envelopes, but we didn't replenish as timely as we normally would, all to prioritize U.S. shipments ahead of tariffs, which affected mix, which impacted average selling price. The tariff situation seems to be in perpetual evolution, and we would have preferred a more traditional blend of Canadian and U.S. volume, but our hand was forced and we did what we had to do to protect the company's interest. While I am not sure I'm ready to say the USMCA is safe from future uncertainty, we believe we managed the situation well and are in a good position no matter what happens next. Finally, on envelope. As part of Project North America, we exited the Concord facility at the end of its lease in February. While January and February were a little rocky as equipment was commissioned and employees got accustomed to their new surroundings, we are now fully functional in our revamped Greater Toronto area network with efficiency and productivity improving appreciably in March. Turning to the packaging business. We are pleased with the substantial improvement in our financial performance in the quarter. With 10% revenue growth and adjusted EBITDA margin of 15%, as I said at the outset, this was our best performance in 2 years. The main drivers of the sales gain were: first, in folding carton. We're seeing recovery in channels related to discretionary consumer spending with a sizable year-over-year increase in business with our primary customers operating in the health and beauty and over-the-counter pharma segments, as well as the ongoing momentum in the at-home food channel, which is a focus area for us as an important hedge against economic downturns or future public health crisis. Second, demand for our e-commerce fulfillment solutions remain solid across the board. We enjoyed the expansion and have gone along for the ride with some emerging brands in the B2C e-commerce channel, and we have had several new wins, particularly in the large U.S. market. The investment in the build-out of our sales force is paying off as we reengage with customers that may not have experienced the attention or love that they rightfully deserve, and we continue to win new business with new customers. Finally, in package, as you've heard me express previously, we've gone back to a traditional management structure, whereby a general manager was installed in each line of business, and they are accountable and take ownership built -- to build a strong culture and where every interaction internally or externally matters. We're reaping benefits from these initiatives, and it's starting to show in the numbers. But we believe there is much more to capture as we grow our volume to improve absorption, make further efficiency gains and achieve synergies within our network. With that, I'll turn the call over to Silvana for a review of the financial results.
Silvana Reyes: Thank you, Stewart. Good morning, everyone. Please turn to Slide 38 of the presentation. Q1 total revenue amounted to $70.2 million compared to $73.3 million last year. Envelope revenue was $48.4 million versus $53.4 million last year. The variation reflects an 11% decrease in average selling prices, mainly due to a less favorable customer and product mix between the U.S. and Canada. These factors were partially offset by a 1.8% volume increase, essentially driven by our greater presence in the U.S. as well as favorable currency conversion effect. Packaging and Specialty Products revenue was $21.8 million, up from $19.8 million last year. The increases reflect higher demand from sectors more closely correlated to economic conditions as well as higher demand from e-commerce-related packaging solutions. Moving to Slide 39. Adjusted EBITDA totaled $8.8 million or 12.6% of sales compared to $10.5 million or 14.3% of sales a year ago. Envelope adjusted EBITDA was $8.3 million or 17.2% of sales versus $10.9 million or 20.4% of sales last year. The decrease mirrors lower selling prices, partially offset by benefits from optimization measures in the Toronto area and the procurement optimization initiatives. Packaging and Specialty Products adjusted EBITDA was $3.3 million or 15% of sales compared to $1.2 million or 6.1% of sales last year. The increase is mostly due to the effect of higher volume on the absorption of fixed cost and procurement optimization initiatives. Finally, corporate and unallocated costs totaled $2.8 million versus $1.6 million last year. The increase is mainly due to higher professional fees, foreign exchange loss and higher share-based compensation expenses. Turning to Slide 40. As a result of lower EBITDA, net earnings were $1.9 million or $0.08 per share versus $3.5 million or $0.14 per share last year. Adjusted net earnings were $2.2 million or $0.09 per share versus $3.5 million or $0.14 per share a year ago. Moving to cash flow on Slide 41. Net cash flow from operating activities totaled $7 million compared to $5.1 million last year. The increase reflects our working capital release this year as opposed to our requirement last year, partially offset by lower profitability. For the same reason, free cash flow was $6.8 million versus $4.7 million last year. On a trailing 12-month basis, our free cash flow conversion rate stood at 0.87 and our free cash flow yield was about 35%, considering the recent share price. Turning to Slide 42. Driven by our solid free cash flow, net debt stood at $35.4 million as of March 31, 2025, down $5.8 million from 3 months ago. Our ratio of net debt to adjusted EBITDA improved to 0.9x versus 1x 3 months ago, well within our comfort zone of keeping it below 2x. At the end of the quarter, we had more than $82 million in available liquidity under our senior secured revolving credit facility, leaving us with plenty of flexibility to finance our operations and future investments, including potential acquisitions. Finally, the Board of Directors declared a quarterly dividend of $0.05 per common share payable on June 20 to shareholders of record at the close of business on June 5. I turn the call back to Stewart for the outlook. Stewart?
Stewart Emerson: Great. Thank you, Silvana. Despite volatile and challenging times, good progress has been made in improving profitability, but we believe there's more to come. As we look ahead, solid business relationships, a focus on business development and innovation, along with a reputation for exceptional execution puts us on firm ground to sustain volume growth momentum and enhanced absorption. The murphy [ph] tariff situation continues to be an unwelcome distraction, and we hope the worst is behind us and that a clear and stable trade picture will bring additional tangible improvements. We are building the business for long-term success and acting on what we can control. This means achieving cost savings and efficiency gains while actively driving sales and planting the seeds for additional revenue opportunities. In envelope, the backlog remains healthy. We continue to gain momentum in the U.S. market, and our Central Canada operations are more efficient. In packaging, key volumes have returned. The pipeline may be stronger than it's ever been in both folding carton and e-commerce packaging, and the refreshed structure is helping us drive new internal improvements and operating efficiencies. Our balance sheet is strong as we couple impressive free cash flow generation and low leverage. That balance sheet will get a further boost should we close the planned sale and leaseback transaction announced late last year on which we continue to make steady progress. Given the performance, the outlook and strong balance sheet, the company announced in its press release issued this morning that it intends to renew its NCIB to acquire for cancellation up to 5% of the outstanding shares subject to TSX approval. Furthermore, with the aforementioned solid financial position and improving fundamentals, we are active in the M&A space and looking for targets that will enhance absorption and reach in our main markets by way of tuck-in, synergistic acquisitions that can rapidly be integrated into existing operations. In closing, driven by strong teams and high-quality assets, our envelope and packaging businesses are well positioned in their respective fields. I want to thank our employees for believing in our capacity to achieve our goals and for methodically executing our plan. This concludes our prepared remarks, and we're now ready to take your questions.
Operator: Thank you. [Operator Instructions] The first question comes from Max Ingram from Canaccord Genuity. Please go ahead.
Max Ingram: Hey good morning and thanks for taking my question. Just on the NCIB, so you intend to restart that. Does that imply that the leasebacks will be finished by the time the NCIB is restarted? Because I think that was the reason it had been paused last year. I just want to get a sense of the mechanics or timing on when you expect to be active on the NCIB.
Stewart Emerson: So I mean, we can't know with any great certainty that we'll actually close. We're making great progress. We expect that we will be able to announce a transaction, but the 2 aren't necessarily related to one another.
Max Ingram: Okay. Okay. That's helpful. And then my second question is on -- wondering if you can give an update on the CFO process? Is there an external search or any time line just to give us a sense of how that's progressing?
Stewart Emerson: Yes. So I mean, obviously, the organization wants and needs a CFO. We're actively in the market looking for a replacement, and it takes time, and we expect that we'll have someone in place for this call next time.
Max Ingram: Okay. Great. And then just last one for me was the corporate costs were up a bit higher than I had modeled. Otherwise, other metrics, the segments were in line. How should we think about -- should we think about that normalizing moving forward?
Stewart Emerson: I think we'll move to more traditional levels in the future. I mean we do have corporate costs, the professional fees were up as a result of the sale leaseback audit, some IT stuff, CFO search. And then we had a foreign exchange loss of $300,000 in the quarter. So I think the FX is -- bounces around a little bit and is a little more volatile, but sort of the legal fees, professional fees will go back to more sustainable.
Max Ingram: Sorry, didn't mean to cut you off.
Stewart Emerson: Back to more traditional levels as opposed to more normal.
Max Ingram: Okay, thanks Stewart. I’ll hop back in the queue.
Stewart Emerson: Great. Thanks, Max.
Operator: Thank you. [Operator Instructions] Our next question comes from Donangelo Volpe from Beacon Securities. Please go ahead.
Donangelo Volpe: Hey good morning guys. Just looking -- and sorry if you answered this during the prepared remarks, but just looking at the 11% year-over-year average selling price decline in the Envelope segment. Can you guys go into more detail on the preparation you guys are -- like that you guys are completing regarding the tariffs? And if we should expect these declines to continue throughout the remainder of this year?
Stewart Emerson: Yes. So I mean, the average selling price decline was -- we tried to answer a bit, but it's a little complex and there's a lot of moving parts. But it's really a combination of U.S., Canada mix right out of the gate as you sell more in the U.S. than you do in Canada, that's going to have a negative effect on average selling price because average selling prices in the U.S. are lower than they are in Canada. So just as we prioritize U.S. shipping, U.S. customers in the quarter to get ahead of tariffs in January and February, we pushed more there. Much of the getting ahead of tariffs buildup went to wholesalers and other resellers who traditionally inventory product and generally, they're sold at bulk prices or wholesale prices. So that's a lower average selling price. And then there was a reduction in direct mail revenues, which are generally priced at much higher levels than the average. There was -- there was a real softening of the market sort of through January, February and March for geopolitical and economic reasons.
Donangelo Volpe: Okay. Perfect, thank you. And just sticking with the envelope side, the adjusted EBITDA margin came in a little bit lower than expectations. Just wondering if there's additional juice left in the optimization initiatives that you guys announced in 2024 to kind of drive the margin up a little bit from these levels?
Stewart Emerson: Yes. So there are a few things, but the biggest impact to envelope EBITDA was average selling price, and as we just talked about, average selling price is down because we prioritized U.S. volume over Canadian volume to get ahead of tariffs. So average selling price being sort of normal for what it's been in the past and the mix not changing so dramatically would have added significant juice, as you call it. The other part was, and I mentioned it somewhat casually maybe, that January and February sort of through the Project North America, we moved 20 pieces of equipment. We decommissioned 20 other pieces of equipment sort of through Q4 and into January, February. We exited the Concord facility, 85,000 square feet at the end of February. So there's some distractions. People get used to their new surroundings, qualified envelope mechanics and operators running different equipment, different machines. So that's kind of settled down. I think the efficiency improvements that we saw in March, keep that sort of level of efficiency and productivity and the two big plants in Toronto had a fair bit of juice as well.
Donangelo Volpe: Okay, thank you I appreciate the color there. And I guess final question for me. I guess, just regarding prioritization of the capital allocation. So given current valuation, do you guys think you guys will be focusing on buying back shares? Or are you guys going to continue to focus on debt reduction and kind of nimbleness for potential M&A in the packaging space?
Stewart Emerson: So yes, we have a great balance sheet and continue to generate a lot of free cash flow as we announced this morning and that subject to TSX approval, we are going to reinitiate the NCIB, which we suspended last year -- well concluded last year and didn't renew. So we will -- we intend to renew the NCIB as a form of returning value to shareholders. Sale leaseback will allow us essentially to retire all of the outstanding debt, which provides a lot of nimbleness to do what we're doing and referenced M&A that we're not looking -- not swinging for the fences here right now. The intent is to be methodical at do some tuck-ins that improve utilization and contribution in the factories, so from a capital allocation standpoint, that's kind of where we're at.
Donangelo Volpe: Okay, thank you. I appreciate you answering my questions and I’ll hop back in the queue.
Stewart Emerson: Great. Thanks, Donangelo.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to Stewart Emerson for closing remarks.
Stewart Emerson: Great. Thank you, operator. And thank you to all of you for joining us this morning. I really look forward to speaking with you again at our next conference call. And for those of you in Montreal or the Montreal area, we invite you to attend our Annual General Meeting of Shareholders to be held later today at 11:00 in Downtown Montreal. Have a great day, and thank you very much.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.